Operator: Good morning, and welcome to the AMERCO First Quarter Fiscal 2015 Investor Call and Webcast. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Sebastien Reyes, Director of Investor Relations. Please go ahead, sir.
Sebastien Reyes: Good morning, everyone, and thank you for joining us today. Before we begin, I would like to remind everyone that certain of the statements during this call, including, without limitation, statements regarding revenue, expenses, income and general growth of our business, may constitute forward-looking statements within the meaning of the Safe Harbor Provisions of Section 27A of the Securities Act of 1933, as amended; and Section 21E of the Securities Act of 1934, as amended. Forward-looking statements are inherently subject to risks and uncertainties, some of which cannot be predicted or quantified. Certain factors could cause actual results to differ materially from those projected. For a discussion of the risks and uncertainties that may affect AMERCO's business and future operating results, please refer to Form 10-Q for the quarter ended June 30, 2014, which is on file with the U.S. Securities and Exchange Commission. Participating in the call today will be Jason Berg, Principal Financial Officer and Chief Accounting Officer of AMERCO. I will now turn the call over to Jason.
Jason A. Berg: Thanks, Sebastien. Good morning. I'm speaking to you today from Phoenix, Arizona. Also on the call with us, from our offices in Reno, Nevada are: Gary Horton, AMERCO's Treasurer; Rocky Wardrip, AMERCO's Assistant Treasurer. All 3 of us will be available for questions after these prepared remarks. Yesterday, we reported first quarter earnings of $6.36 a share. That's compared with $5.78 a share for the same period in fiscal 2014. To try to minimize some of the repetition in my comments during -- all of my period-over-period comparisons will be for the first quarter of fiscal 2013 -- sorry, '15 versus 2014, unless specifically noted. In our Moving and Storage segment, which includes the equipment rental and self-storage business and excludes our insurance operations, operating earnings increased $17 million, to $211 million. We are continuing to see strength in rental equipment transaction growth. This transaction growth is fueling the revenue improvements. Compared with the first quarter of last year, we had a $59 million increase, which is about 11%. This also represents our largest U-Move revenue increase for comparative first quarter periods. Growth is coming from both our in-town and one-way markets, and from our truck and trailer fleets. The pricing environment remains competitive, with no significant changes since the last time we spoke in May. We continue to add new company-owned locations, along with independent dealers. And while we don't discuss the specific size of the fleet during our quarterly calls, in general terms, I did want to note that we have grown the fleet since the same time last year, and based upon current projections, we would expect to see this trend continue into the fourth quarter. We are continuing to see reasonably strong U-Move revenue growth in the first month of the second quarter. Capital expenditures for the first quarter of fiscal 2015 for new trucks and trailers were $326 million. It's about $113 million increase compared to the same time last year. Proceeds from the sale of retired equipment were $128 million. That was an increase of $36 million. Our projections for rental equipment growth, capital expenditures for fiscal 2014 are now north of $850 million. That's before netting any equipment sales proceeds against them, which we expect to increase as well. Our storage operations continue to generate revenue growth through occupancy gains at existing locations, combined with occupancy from new facilities that we've added to the system. We added 13 new storage locations during the quarter. Revenues were up $7 million for the first quarter, from June 30, 2013 to June 30, 2014, so over the last 12 months, we've added approximately 1.8 million net rentable square feet to the system. About 480,000 of that came here during the first quarter. Spending on real estate related CapEx, for the first quarter was $86 million. That's down a little bit. We had $99 million during the first quarter last year. We're actively searching for locations to acquire. We're continuing our construction projects and our conversion projects. Our quoted occupancy statistics include all available rooms in locations, regardless of whether or not they're brand-new or seasoned. At the end of June, our occupancy increased 2% to an ending amount of 84%. Operating expenses at the Moving and Storage segment were up $43 million. Personnel and maintenance costs increased. And we also saw larger-than-usual increases in the U-Box program, in particular, freight expense. Depreciation expense increased over $15 million for the quarter, while gains from the disposal of equipment were up by just over $11 million, for a net increase in depreciation of just under $4 million. We're in a period where residual values on the truck fleet have been strong, and this is reflected in our reported net depreciation expense. With the increased size of the fleet, we are subject more to movements in the small truck and van resale market, and that could have the effect of increasing our depreciation expense should we see a shift in resale values. Consolidated earnings from operations for the first quarter of 2015 were $219 million. They were $202 million for the first quarter last year. Cash and credit availability at the Moving and Storage segment was $851 million at June 30th. At the end of our fiscal year, which was March 31, it was $625 million. Cash and availability balances are elevated right now, as we prepare for second quarter equipment purchases. We're continuing down the road with preparing for refinancing our upcoming real estate loan maturities, and we'll also see some larger federal income tax prepayments going into the second quarter. Some of you may have noticed increases in our accounts payable in accrued expenses on the balance sheet. Much of that will come down in the second quarter. Notes, loans and capital leases payable were $2,185,000,000 at June 30, 2014. The end of the last fiscal year they were $1,942,000,000. With that, I'd like to hand the call back to Denise, our operator, to start the question-and-answer portion of the call.
Operator: [Operator Instructions] And the first question will come from Ian Gilson of Zacks Investment Research.
Ian T. Gilson - Zacks Investment Research Inc.: We have a number of, I wouldn't call them new line of business, but such things as U-Move and U-Box and things like that. Do you intend to give us more detail on how these things are going? I presume, if I remember correctly, that some of these are included in the other revenue line, but the expenses are not broken out. Can we get some color on those, sometime in the future?
Jason A. Berg: Ian, this is Jason. Most of the programs outside of U-Box are complementary to the -- our primary Moving and Storage products. The revenue directly generated from those is relatively small in the big picture. However, they do contribute to the overall revenue increases in Storage and Moving products. The biggest new program that we have is the U-Box program, and that has not yet reached the level that it requires separate revenue disclosure. We've chosen, largely for competitive reasons, not to disclose that line item separately yet. We did see, during the quarter, expenses related to that program increase. That's why I tried to mention that in the prepared comments, to kind of give people a taste of what's happening. But even when we do break out that revenue, it's unlikely that, that will have a separate expense breakout for that line item.
Ian T. Gilson - Zacks Investment Research Inc.: Okay. And the account payable accrued expense line, how much of that was account payable, and how much of that was accrued expenses?
Jason A. Berg: Well, the largest component of that was actual current federal income taxes due, and our next -- we have a payment that we made in July, and then another payment coming up in September, which is going to clear a large piece of that increase. I would say the accounts payable portion of that was probably somewhere in the $25 million to $30 million range, and a lot of that kind of -- we have dates on when we do payments and depending upon when the end of the quarter falls, that number can flex up or down a little bit. It's a little bit larger than usual this quarter.
Operator: Our next question will come from Jim Barrett of CL King and Associates.
James Barrett - CL King & Associates, Inc., Research Division: Jason, the -- beyond Q4, you did mention the fleet would grow through year end. Do you see a period in the foreseeable future where the size of the fleet is likely to stabilize, given the inherent opportunity in the end market?
Jason A. Berg: Well, for us to get a 12-month look at the fleet is kind of also -- it's a shot that, that number changes throughout the year. I think our plan is certainly for the rate of growth in the fleet is going to taper off a bit towards the end of this year. So it's been growing at a fairly elevated rate, in and out, for the last couple of years, and our current plans are for that to slow down a bit.
James Barrett - CL King & Associates, Inc., Research Division: Okay, good. And when I look at your Moving and Storage operating expenses, is -- did you say U-Box spending was the single largest reason for the year-over-year increase? I know the Q mentioned increased truck maintenance as well.
Jason A. Berg: Our largest expense items are personnel expense, and repair and maintenance expense. But those numbers -- the increases in those numbers were largely in line with revenue increases, so those didn't have the effect of decreasing the operating margin during the quarter. So what we saw was a larger-than-usual increase in the U-Box expenses. And what happened during the quarter was we rolled out a new point-of-sale system and a new fleet management system for our U-Box program. We had reached a point where we were concerned about our ability to serve a larger number of customers than what we were currently able to. So to fix that issue, we launched a new point-of-sale system. And whenever you do that, there's a certain number of issues and a learning curve that go along with that. So we launched that in April, when we saw some additional cost associated with maintaining the customer experience throughout May and June, probably going to move into July a little bit, and we're hoping that we've got most of that settled and we're not going to continue to see that after July, but we're still working that. So it's one of those situations that, back in 2006, when we launched the new point-of-sale system for trucks and trailers, there was a bit of a bumpy learning curve on that, and then eventually we got everything worked out, and we're much better for it today. And our belief is that, that's the path that we're on with our new U-Box system.
James Barrett - CL King & Associates, Inc., Research Division: Okay, good. So the delta year-over-year was, first, the additional spending on U-Box. And there was also mention that truck maintenance was increasing. Is that a function of the fact that the fleet is larger? Or is the fleet age and/or is the fleet aging? Or is it a combination of the 2? How should we look at that expense item going forward?
Jason A. Berg: It's a combination of the 2. We're -- we have a few campaigns in place where we are extending the life of some of the older equipment, and then we're also dealing with the influx of all of the new trucks that require preventive maintenance checks and get a few dents and dings along the way. So at this point, it's kind of a combination of both of those items.
James Barrett - CL King & Associates, Inc., Research Division: Okay. And then my last question, I assume you track time and mileage as a metric. Given the fact you indicated pricing wasn't improving much, are consumers continuing to take longer and longer trips? How should I think about time and mileage as a contributor to transaction growth to your top line growth?
Jason A. Berg: As far as mileage goes, we haven't seen any dramatic increases in mileage. It's up a little bit for both, the in-town and one-way, but it's not a significant amount or what I would consider to be a significant amount. But if you increase each one of our transactions by a mile or 2 miles, that does add up to be quite a bit over the course of the year. We're still seeing the bulk of the revenue growth coming from the increase in transactions, and we did see a smaller portion of it come from some improvement in the rates.
Operator: Our next question will come from Jamie Wilen of Wilen Management Company.
James R. Wilen - Wilen Investment Management Corp.: A couple of different areas. When your refinancing program, I guess it's the middle of next year, what's your goal there? You've got $800 million of cash on the balance sheet. I guess you can't refinance early. It seems like an opportune time, but what's your game plan with how you're going to address your capital structure?
Jason A. Berg: Gary, do you want to start off with that one?
Gary B. Horton: Sure. We're in the process right now, going in early and taking a large portion of that debt and refinancing it. Right now, we're tending to go fixed rate and going longer term and fully amortizing. We're able to basically ring up extra money out of the program on the refinance, and basically go ahead and work to have enough cash and just basically pay off most of the other debt that matures at that time. So we have basically started already, and we're in the process right now of funding those. There's a bunch of them that are coming due first, and we've chose those and we should have those all refinanced, probably by the end of the calendar year.
James R. Wilen - Wilen Investment Management Corp.: Okay. What rates are you looking at, currently?
Gary B. Horton: I'm going to say, probably somewhere in the mid-4s for longer-term financing.
James R. Wilen - Wilen Investment Management Corp.: And so on an annual basis, interest rate savings you think you could potentially achieve would be about how much, interest expense?
Gary B. Horton: Again, I don't really have that at hand right now. But it will be a considerable amount of saving on the interest side, but it will -- we're going through -- we've done some rate locks and some of it are not rate locked yet. So you keep hearing that rates are going up. So far, we haven't seen it. And the new rate is at 4.5%, and the old rate was probably in the high 5s. So you've got a, fairly decent savings on interest through the rate. But at the same time, we're taking out more because we can do that, and then we'll use that to pay off the debt next year.
James R. Wilen - Wilen Investment Management Corp.: Fantastic. Jason, once -- that you've always said we're not going to address the capital structure or how we -- whether we buy back stock or issue dividends or what have you, until we have this refinancing kind of in the palm of our hand. It sounds like we do. So once we do, what's your game plan as to how you're going to address that?
Jason A. Berg: Well, we haven't yet. I mean, we've been having discussions with that at the board level, but I would say that we still haven't decided on anything yet. Joe's certainly of the mindset that, wait until the transactions are actually booked until you start making decisions on that. We've had some crazy things happen with lenders in the past, and I think he would just -- he's more of that mindset. But I would certainly expect that to be a topic of discussion at the upcoming Virtual Analyst meeting here at the end of the month.
James R. Wilen - Wilen Investment Management Corp.: Okay, so potentially you'll have some sort of indication as to where you may be headed in line at that time?
Jason A. Berg: We'll have a statement on it. I'm not sure if we're going to be at the point where we have the actual direction to lay out for everyone yet.
James R. Wilen - Wilen Investment Management Corp.: Okay. On the self-storage side, you said occupancy rates at the end of June were 84%. Is that a seasonal variation? Or are you showing additional trend lines there?
Jason A. Berg: Well, typically, occupancy is up during this time of the year. So we do trend up, but we're up 2% compared to the same time last year. So with the same type of seasonality that we see year-over-year, we're about 2% better than we were last year. So that was an end-of-the-period number. Our average occupancy during the 3 months was right on 82%. That was also up 2 points over last year or a little bit over 2 points up from last year.
James R. Wilen - Wilen Investment Management Corp.: Okay, and what percent of your self-storage facilities are north of 95%?
Jason A. Berg: Well, we have -- I would say that in the owned portfolio, we probably have 60% to 65% of the facilities over 90%. So we added -- this quarter, we added close to 480,000 square feet. That came in at about an average occupancy of about 62%. So you see we're throwing lower occupancy product into the mix, and that tends to water down the overall rate. But certainly on seasoned facilities, we certainly have the ability to manage those, as well as anyone else in the business.
James R. Wilen - Wilen Investment Management Corp.: So would you say that, if you take away all facilities that you've acquired in the last 18 months, your average monthly occupancy may be north of 94%, when we take out the newly acquired facilities out of the mix?
Jason A. Berg: I don't do that calculation, so I couldn't give that to you. The best I can give you is just the number of facilities over 90% that we track, and that number is up over last year, 25% I think.
James R. Wilen - Wilen Investment Management Corp.: Okay. On the U-Box program, I'd love to get a little bit more color for how much we actually do spend. I know you're not going to break out revenues in this and that. But if you could talk about the capital expenditure there, when you expect to cross that hump of when you're really making money there, and what's the potential for that business?
Jason A. Berg: Well, as far as crossing the hump and making money, we were fairly close to that. I think that we're just about there. We're taking a little bit of a step back to take 2 steps forward here with the new point-of-sale system. So we were a little heavy on expenses this quarter. What we're finding with that is, our product offering is more of a moving product and we're having quite a bit of success with that, but there's challenges in operating that as far as getting those boxes moved all across the country. So we're trying to work out those hitches. As far as the upside to that, the growth that we have seen in that program here, over the last 4 or 5 years, has been fairly phenomenal. And with this new system in place, I think we're poised to take out a whole lot more business than what we currently have today. So we have high hopes for -- I don't have a specific number that I can give you, $200 million, $300 million, $400 million, but what I can tell you is that we still see a whole lot of upside to it or we wouldn't be investing a lot of the time right now. There is a certain dollar amount being invested, but probably more just time and attention of the organization, which is -- that's tougher to put a dollar amount on, but we're investing a whole lot of energy towards getting this up and running better.
James R. Wilen - Wilen Investment Management Corp.: I assume the program is national now for you guys. And is that an advantage, though, for anybody else, that have your tentacles out everywhere?
Jason A. Berg: Absolutely. If we follow the same path that we have on the truck and trailer business, where we have a nationwide network, where the customers expect and know that we're going to be in every marketplace, that gives you a huge advantage over the competition, and I would say that there's probably more of an opportunity in this business, at least that's my opinion, than in the truck and trailer business as far as getting to places where the competition isn't at right now.
James R. Wilen - Wilen Investment Management Corp.: I'll call you later to see if I can get a shareholders' discount. Last question, just on your overall truck rental business, any change in the competitive situation out there as far as new entrants, new people adding lots of units that could potentially be a problem?
Jason A. Berg: I haven't heard anything from our operations folks about any significant shifts in the competitive landscape. As we've always said, we're very inwardly focused, but then we keep an eye on who could enter it. But our take is, if we're doing our jobs very well, then that should be a barrier to entry for anyone else. So we're really trying to do as good a job as we can do, and then that hopefully will discourage anyone else from trying to increase their presence.
Operator: And our next question will come from Rohit Sahni of Harbor Spring.
Rohit Sahni: My question really relates to just basic operating trends and outlook for at least the fiscal year ahead of us, fiscal year '15. If we look at the revenue growth on the Moving and Storage, it has been a healthy 11%, a bit lower than last year's year-on-year growth, and margins around almost close to 28%, EBIT margins a little lower than last year's quarter. What can we expect going forward? I know you don't give full year guidance, but is it fair to say we can still see top line trends that are in the high single digits, low single -- low double digits? And then on margins, you've done a great job bringing them up over the past few years. Is there still more room to see improvement on margins?
Jason A. Berg: On the revenue side, we're certainly geared towards continuing that trend. We have the equipment in place, we're continuing to add the locations. The infrastructure is prepared to handle increases in transactions. So our hope would be that, that would continue. And our plans are for that to continue, but you're right, we don't give guidance out past the 1 month that we actually have already seen, which July was another good month for us. On the expense side, the organization has always been very focused on managing the expenses, but things that directly affect the customer, which would be personnel or repair and maintenance, are areas that we act very judiciously towards and make sure that we don't hurt the customer experience because then you just end up damaging future revenue. So we're managing those costs, and over the last few years, those haven't been damaged in the operating margin. We've been picking up a little bit of operating margin in those areas. I think, if we can absorb the process of getting the new U-Box system up and running, fit fairly quickly in the next couple of months, I think that was probably the largest single item that led to the operating margin decline for the quarter. If we can get past that, we would hope that we could start continuing to tick that number back up gradually.
Operator: And the next question will be a follow-up question from Ian Gilson of Zacks Investment Research.
Ian T. Gilson - Zacks Investment Research Inc.: Going back and looking at the trends of revenue, when you talk about transaction growth, is that basically new additions to the fleet? Which is more: sort a same fleet addition or the new truck adding to the transactions? And are we still seeing a transaction growth approximately equal in the 2 sectors of the moving business, about town and point-to-point?
Jason A. Berg: Well, the -- for the first quarter of this year, I would say that the transaction growth -- we didn't see significant pickups in utilization during the quarter. We did improve utilization for all of last fiscal year. For this first quarter, I wouldn't say that there was large increases in revenue from utilization because then that would mean largely from additional fleet and then a little bit from pricing. I'm sorry, I'm trying to remember your last question now.
Ian T. Gilson - Zacks Investment Research Inc.: The about-town versus point-to-point, which is showing the greater transaction growth?
Jason A. Berg: The in-town is showing the larger transaction growth. Both have been right about the trend that we've seen over the last couple of years. So they're both doing well, but the percentage increase -- there's a larger percentage increase on the in-town transactions.
Operator: And our next question will be a follow-up from Jim Barrett of CL King & Associates.
James Barrett - CL King & Associates, Inc., Research Division: Jason, you semi-answered my question in answering the last question, but it was really on utilization rates. If the firm does plan to moderate the size of the fleet going forward, is it reasonable to assume that if end demand stayed reasonably healthy and there was no change in the competitive dynamics, you would start seeing a pretty significant increase in utilization rates?
Jason A. Berg: We have room in the fleet for utilization improvement still, so that's what we're gunning towards. And so our intention would be to continue to improve utilization, and there's room to do that.
James Barrett - CL King & Associates, Inc., Research Division: Okay. And I think going back 5 or 6 years, I know in a presentation you provided certainly -- you provided graphically what your utilization rate was. Has -- is it back at the levels in '05, '06? Is it above it? Do you have a sense of that?
Jason A. Berg: Yes, and I believe that graph was more of a directional graph, and we didn't have a value attached to any piece and we just kind of showed the trajectory of it. And the graph is still -- if we were to do that today, it's still trending up -- I'd have to look at it again, but probably at a little bit slighter slope than what we saw. But I'd have to redo the whole graph in order to see how it compared to that time period again.
James Barrett - CL King & Associates, Inc., Research Division: But still -- it's still sloping positively?
Jason A. Berg: Yes.
James Barrett - CL King & Associates, Inc., Research Division: Okay. Well, we're looking forward to having you and Sebastien at our conference on September 9 in the city.
Jason A. Berg: I'm looking forward to being there again.
Operator: And ladies and gentlemen, this will conclude our question-and-answer session. I would like to turn the conference back over to management for any closing remarks.
Jason A. Berg: Thank you. I'd like to thank everyone for your interest in and support of AMERCO. And I also wanted to take a moment to remind everyone of our upcoming Virtual Analyst and Investor Meeting. This is going to be our eighth annual event, which we broadcast live over the Internet at AMERCO.com. We're going to be holding it this year on Thursday, August 28 at 11:00 Arizona Time. The meeting will be moderated by Joe Shoen, and we'll have on hand several of the key executives who will give some brief presentations and then, more importantly, be available for question and answers. This is one of our fundamental investor outreach programs, and I encourage you to participate in this. We do take questions live, but I would like to ask that we found it helpful in the past if you submit questions ahead of time to Sebastien Reyes, our Investor Relations Director. It helps us to be able to address those questions more fully and as part of our presentations, and maybe answer them a little bit better. You can reach Sebastien through our Investor Relations website, which is AMERCO.com. So thank you, again, and I look forward to speaking to everyone on August 28. Thank you.
Operator: Ladies and gentlemen, the conference has now concluded. We thank you for attending today's presentation. You may now disconnect your lines.